Operator: Good day. And welcome to the Sandy Spring Bancorp, Inc. Earnings Conference Call and Webcast for the First Quarter 2015. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Daniel J. Schrider, President and CEO. Please go ahead, sir.
Dan Schrider: Thank you, Dan, and good afternoon, everyone. And thank you for joining us today for Sandy Spring Bancorp’s conference call to discuss our performance for the first quarter of 2015. This is Dan Schrider speaking and I’m joined here today by Phil Mantua, our Chief Financial Officer; and Ron Kuykendall, our General Counsel for Sandy Spring Bancorp. As is normally the case, today’s call is open to all investors, analysts and the news media, and there will be a live webcast of today’s call, as well as a replay of the call available at our website beginning later today. Before we get started, Ron, will cover the customary Safe Harbor statement.
Ron Kuykendall: Thank you, Dan. Good afternoon, ladies and gentlemen. Sandy Spring Bancorp will make forward-looking statements in this webcast that are subject to risk and uncertainties. These forward-looking statements include statements of goals, intentions, earnings and other expectations, estimates of risks and future costs and benefits, assessments of probable loan and lease losses, assessments of market risk and statements of the ability to achieve financial and other goals. These forward-looking statements are subject to significant uncertainties, because they are based upon or affected by management’s estimates and projections of future interest rates, market behavior and other economic conditions, future laws and regulations, and a variety of other matters, which by their very nature are subject to significant uncertainties. Because of these uncertainties, Sandy Spring Bancorp’s actual future results may differ materially from those indicated. In addition, the company’s past results of operations do not necessarily indicate its future results.
Dan Schrider: Thanks, Ron. Today as usual, I will cover some brief remarks, as I look back on the first quarter and then we will move to your questions. The goal of the call is to both hit the highlights and also add a few thoughts that might provide some additional color around what was covered in this morning’s earnings release. As reported earlier, net income for the first quarter was $11.2 million versus $10 million a year earlier. And our net income for the first quarter of 2015 compared favorably to the $9.1 million reported for the linked fourth quarter of 2014. On a per share basis, the $0.45 we reported also compare favorably to the $0.41 straight consensus for EPS. Our pre-tax pre-provision revenue was strong at $17.5 million, which is better than any quarter last year and among the best on historical basis, particularly given it was a very clean quarter lacking any significant impact of extraordinary items. As noted in our release, we saw higher net interest income as a result of good growth in all three major segments of our loan portfolio. The loan pipeline reflects a steady trend over the past three to four months and it’s consistent with the run rate we’ve planned for. On the Mortgage Banking side, balance sheet growth was somewhat slower than planned due to volatility in rates and seasonality that affected the construction business. But on the positive side, originations drove a significantly higher level revenue Mortgage Banking activity. It was more residential refi activity that drove our mortgage performance and gains as opposed to new home sales or construction originations. Almost 75% of loans were residential refi this quarter versus about 45% in the first quarter of 2014. Aside from the rate volatility that helped drive refi activity another factor that likely drove lower residential construction activity was the weather. We have more frequent snow and a much colder winter in the first quarter than we have seen this area for quite some time. The fee based income coming from Wealth Management, Trust and Insurance was strong. Overall, fee based revenue currently comprises a solid 28.3% of total revenue and that’s up from 26% last year. And as you recall, the insurance business always tends to be seasonally higher in the first quarter. So overall, we’re quite pleased with the balance as well as the diversity of our revenue mix. As for deposits, at March 31, 2015, combined non-interest bearing and interest bearing check account balances, the principal performance driver of multiple product banking relationships increased 30% compared to balances at March 31, 2014. Our total deposits and other short-term borrowings that comprised of funding sources derived from customers increased 6% compared to a year ago. Given the loan growth, our continued success in growing transaction account balances as well as management of our funding cost, our net interest margin held up at 3.44% for the first quarter of 2015, compared to the same level for the linked fourth quarter of last year. So our net interest margin is in line with our expectations and consistent with our prior comments. Our credit quality has remained strong. Non-performing loans totaled $36 million at quarter end, compared to $38.7 million a year ago and $34 million at December 31, 2014. Our level of non-performing loans to total loans decreased to 1.14% at March 31, 2015 compared to 1.37% a year earlier mainly due to growth in the overall loan portfolio. The increase in non-performing loans at March 31st compared to December 31st was result of loans which were watchlist credits and classified as non-performing during the first quarter. And there are no surprises there and these were somewhat offset by recoveries and loan payoffs. Let me take a minute to talk about capital and what we’re doing with respect to capital deployment. Our tangible common equity grew to $435 million at quarter end, up from $424 million a year ago. Our dividends per common share were $0.22 per share for the quarter compared to $0.18 per common share for the first quarter of 2014, that’s a 22% increase. This results in a very healthy current dividend yield of 3.4%. I’m also pleased to note that the dividend yield and payout ratio have nearly returned to levels where we were prior to the economic downturn. We entered this cycle with an annualized dividend rate of $0.96 per share. So at $0.88 per share now, just one more $0.02 per share increase would restore us to where we were previously. And further during the quarter, we were consistently active buying back stock. Our total shares repurchase amounted to over 351,000 shares. As a side note, the impact of this repurchase volume was about a penny a share in EPS. This all reflects our intention to consistently return value to shareholders as part of our overall capital deployment strategy. At March 31st, the company had total risk-based capital ratio of 15.12%, a common equity tier 1 risk-based capital ratio of 14.01%, a tier 1 risk-based capital ratio of the same 14.01% and a tier 1 leverage ratio of 11%. We are pleased to see our valuation has improved. With steady stock price appreciation year-over-year both in terms of improved book value as well as our PE. It’s nice to see this as the value of our currency is an essential element of our growth strategy. In general, we continue to look carefully at all M&A opportunities. Beyond bank M&A, we like fee-based ideas such as on the wealth management and insurance fronts. These types of transactions can be quickly accretive. They do not consume large amount of capital and they already represent core competency for us. We also think pricing expectations by potential sellers are beginning to move in a more realistic direction. These areas that I’ve highlighted represent some of the essential elements of our strategies and performance that cause us to continue to be optimistic as we move through 2015. That concludes my comments for today and we will now move to your questions. So Dan, we can have the first question. And we would appreciate if you would state your name and company affiliation as you come on, so we know with whom we speak.
Operator: [Operator Instructions] And our first question comes from Catherine Miller of KBW. Please go ahead.
Catherine Miller: Good afternoon, everyone.
Dan Schrider: Good afternoon, Catherine.
Phil Mantua: Hi, Catherine.
Catherine Miller: Hey, wanted to ask about the buyback this quarter that increased a little bit. Can you talk about how you’re envisioning the pace of buybacks for the rest of the year, particularly now that your stock has bounced back a little bit and M&A activity may be coming back to you, your currencies improved? How you had think about that versus doing another buyback at the current levels kind of throughout the rest of the year? Thanks.
Dan Schrider: Yes. Sure. Catherine, this is Dan. We give it to you in a couple different ways. Right now that level that I represented represents about 33% of the authorized shares under our current plan, which actually expires later this year. But I think to get to the point of level we became active as we believe there is opportunities on the value front there to be active. But at the same time we are approaching some pretty nice levels in terms of where our stock is relative to multiples, also relative to market estimates. So we obviously have been more active as we were approaching those. So I think that’s the -- there is no specific answer as to the level of activity, but we -- our thoughts there is that it’s part of a four-pronged approach of capital deployment, but clearly consider kind of the absolute level of PE book value, how you all view our share value and that will really drive our level of activity. But we are trading nicely right now and that would tend to slow this big down a little bit. So not the only -- but not the only strategy as it relates to capital. We certainly like to continue to see organic growth and M&A opportunities.
Catherine Miller: Okay. That’s really help, Dan. Thanks. And then maybe a follow-up just on the margin, can you talk a little bit about your outlook for the margin? You’ve done a really nice job keeping that stable and part of that is the loan to deposit ratio came over 100% this quarter. And how do you think about maintaining that margin as you try to manage the loan to deposit ratio not getting too high?
Phil Mantua: Catherine, this is Phil. I think generally speaking, we like the consistency and the margin as to where it is now certainly without having any further compression. I think it would be our desire to try to keep it at that mid-340 kind of level, plus or minus the basis point from quarter-to-quarter would be good in absence of any significant rate change, obviously in the broader markets. I think we are comfortable with the loan to deposit ratio being above a 100 and being in that 100 to may be 105% range. We start to get a little bit more concerned when it gets above that and heads in the 110 direction. I don’t think we would be very comfortable there at all. We already have taken some strides in terms of being a little bit more aggressive in our outreach and marketing of time deposits, which we had not really done for a significant period of time in anticipation that we will need some other types of funding here as we move forward and that’s probably is a one thing that could move the margin if we think we have to really pay for some of those monies as opposed to not. But so far, we grew time deposits in the quarter about the same pace as overall total deposits, a little over 1%. We haven’t done that in a long time and yet the margin held up pretty well as we can see there. So there’s where we’d like to stay and try to take that same approach throughout the rest of the year.
Catherine Miller: Okay. That sounds great. Thank you very much. Congrats on the good quarter.
Dan Schrider: Thank you.
Phil Mantua: Thank you.
Operator: Our next question comes from Matt Schultheis of Boenning. Please go ahead.
Dan Schrider: Hi, Matt.
Phil Mantua: Good morning, Matt.
Matt Schultheis: Quick question -- realizing that there were lot of capital deployment strategies put in place, what would your target capital ratios be and let’s use, so the tier 1 common risk weighted assets asset ratio? Where would you want that to be in an ideal setting regardless of how you get there?
Phil Mantua: Yeah, Matt. And this is Phil. I think that -- I know so much about the tier 1 ratio per se, but I think we talked on numerous occasions that from a long-term perspective, if we focus on the tangible common, the tangible asset ratio that we would be comfortable without being down into mid 8% to 8.5% range. And that would obviously take the combination of things that Dan described earlier as part of our deployment strategy to get there and we mentioned this before. Just on an M&A basis and given current levels, it would probably take a -- we could probably take another $1 billion worth of assets on and still feel comfortable in that kind of range. So that’s the way we viewed it to date and we will probably continue to do so.
Matt Schultheis: Okay. Thank you very much.
Phil Mantua: Sure.
Dan Schrider: Thanks, Matt.
Operator: Our next question comes from William Wallace of Raymond James. Please go ahead.
WilliamWallace: Good afternoon, gentlemen.
Dan Schrider: Hi, Wallace.
Phil Mantua: Hi, Wallace.
WilliamWallace: Couple of questions. First, in the mortgage bank into the second quarter, has the refi activity remained as strong as it was in the first quarter?
Phil Mantua: Yeah. This is Phil, Wally. I would say that just kind of looking at where we ended the quarter and looking a little bit into April, the refi levels have held up pretty well. The percentage of our overall production was actually little bit higher in refi by quarter end than it was kind of on average for the quarter itself, not a lot but a little bit more. So, I would say yeah, that seems to have held up pretty well.
WilliamWallace: Now that we’ve finally got some decent weather, have you seen any pick up on the purchase activity?
Dan Schrider: Wally, this is Dan. I think the -- we are starting to see some pipeline growth on the construction side relative to where we were in the fourth -- first quarter. But I will also tell you that that’s become a much more competitive marketplace as you may know this has been a niche for us for sometime. We’ve had some new entrance into the market and they’re competing more on providing a combo long-term fixed rate type of product, which is not part of kind of how we view the best way to approach that line of business. So I think the market has begun to heat up a bit. I think we have to work harder to get our share of growth in that construction side. Now -- I have not -- I don’t have a good feel for whether we’re seeing new home sale or the new originations of purchase moneys bumping up yet.
WilliamWallace: Okay. And Dan, the comments that you made about -- seems like pricing expectations of potential sellers is beginning to possibly move in a more realistic direction. That’s the first time I’ve heard that so I am curious if you have a potential view on why that might be? Is there some any concern out of maybe some of the smaller banks about credit or interest rates or regulatory pressure? I mean, do you have a feeling as to why that might be?
Dan Schrider: Yeah. What and -- well, I mean, that’s a great question and I probably may have miss spoke. I was referring more to the non-bank side of things on that comment on the Wealth and Insurance fronts we’re seeing more realistic multiples there, but do not intend that to reflect the banking environment, unfortunately.
WilliamWallace: Okay. Got it. Thanks for that clarification. My last question, Phil, I kind of was expecting of where we are going to see the reserve ratio flatten out. It looks like it continued to tick down. Any updated thoughts on how we should think about the reserve levels?
Phil Mantua: You are talking about the loan loss reserve, Wallace.
WilliamWallace: Yes. Yeah.
Phil Mantua: I think that we’ve talked for awhile of wanting it to kind of level out right in the 120 range. I guess we ended the quarter a couple ticks below that at 118. That’s still kind of our view forward. And that the provisioning this quarter kind of reflects what we’re thinking relative again to loan growth and less reserve release going forward. So it’s not exactly right on the nose, but that’s kind of that area where we’re most comfortable at this point and are looking for it to kind of stay there.
WilliamWallace: So maybe whether -- from our perspective would a way to think about at the, maybe somewhere between the 115 to 120 is probably relatively good number given the current environment?
Phil Mantua: I think that the reasonable place to look, yeah. Given what we’ve done in the past in the way that our methodology works as we know it. I think that’s probably right. I mean, we don’t have a whole lot of larger credits left with any big specific reserves that would get pushed out of there, they were either charged-off or paid down or paid-off. So some of that kind of experience that’s driven the reserve down in the past is pretty close to do not exist and so I think that’s another element that kind of under the surface.
WilliamWallace: Okay. And then last question along the line. Well, just on the credit side, I’ll ask this question and you can answer generally or specifics to a category. But Dan, you had mentioned, seeing the construction environment heating up? Are you seeing any competitors starting to loosen their underwriting standards or is the competition still more on price and structure?
Phil Mantua: Are you talking about on the mortgage construction side?
WilliamWallace: Yeah or if you are seeing in another categories I’d love to hear?
Phil Mantua: Yeah, I would say generally it’s still more on the price and price structure side, a willingness to move out on the fixed rate curve a little further out than we would in this current environment, more so than it is on the credit quality front.
WilliamWallace: Okay.
Phil Mantua: And that was -- that would be the case both commercially as well as residential.
WilliamWallace: Okay. Thank you.
Phil Mantua: Yeah. Thanks Wallace.
Operator: [Operator Instructions] Our next question comes from Mark Hughes of Lafayette Investments. Please go ahead.
Mark Hughes: Good afternoon.
Phil Mantua: Good afternoon Mark.
Dan Schrider: Hi Mark.
Mark Hughes: Hi. Just a question on non-performers prior to the financial crisis, your non performers were literally almost zero, at the end of ‘06 for example was $3.7 million and you’ve done a great job in recent years working that number down to where it is today. But it kind of seems like we’ve leveled off to mid to upper 30s, $30 million of non-performers. Should we look at that as that period before the financial crisis, that’s just another era not likely to go back to that kind of quality, if that’s the right word and that more -- given the economy where it is that we are likely to kind of leveled off in the range we are today?
Dan Schrider: Mark, this is Dan. I think that there are probably a few things at play. One is the level where we are today in terms of -- kind of the inflows and movement in some of those watchlist categories that normally would be a predictor of future NPAs. That feels like those levels are really back to kind of a normal level. And that’s the credit risk rating evaluations of different loans within our various portfolios. I would say that we -- the absolute level of NPAs probably still has some hold over from the cycle and things are taking a little longer to work through, and our decision quite frankly to work through them with clients as opposed to taking a more aggressive approach than we did earlier in the cycle as we were moving through it. But I also think that credit risk management in the industry and even in the bank has much improved through the cycle and that is we’re much more granular in terms of how we manage risk which then causes us to evaluate risk, quantify risk and fill those buckets up a little differently. So I think it’s a combination of all those things if that makes sense.
Mark Hughes: Guys, thank you. That’s it for me and congratulations on the share buyback. We like to see that. Thank you.
Dan Schrider: Thanks Mark.
Phil Mantua: Thanks Mark.
Operator: Our next question comes from Casey Orr of Sandler O'Neill. Please go ahead.
Casey Orr: Good afternoon.
Dan Schrider: Him Casey.
Phil Mantua: Hi, Casey.
Casey Orr: Just had one quick question on rise in other fee income. I believe last quarter, Phil, you said a good run rate was in the $1.4 million range, came in at $1.8 million. Can you walk us through what contributed to that and would you still pick the long-term run rate at $1.4 million or has that changed?
Dan Schrider: I would just quickly say, I would continue to look at that same kind of level on a run rate basis. There is nothing -- there is really just a couple of things in the quarter of note that take it to the $1.7 million, $1.8 million range. But these things could and should occur from time to time and that’s where we get some prepayment penalty fees on loans that payoff in advance, that’s why we put those things in the contracts so that there is some benefit when that occurs and that’s an element of that. And then the other thing in this quarter was some strong SBA gains, which we would hope to continue going forward, which we did not have in the past. And so I would include that going forward to getting at the same kind of level was commented on before at $1.4 million. But did not anticipate that we’ll always get some kind of prepayment penalty quarter-over-quarter.
Casey Orr: Okay. Great. And actually -- can you kind of, I guess work us through how much was SBA gains this quarter?
Dan Schrider: Oh! Sure. I’m sorry. This is about $250,000.
Casey Orr: Okay. Do you have that number for last quarter as well?
Dan Schrider: Last quarter, it was only about $20,000 to $21,000. So it’s up at a level that we would more plan for it to be as opposed to what came through in the fourth quarter.
Casey Orr: Very helpful. Thanks.
Dan Schrider: You’re welcome. Thanks Casey.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Daniel Schrider for closing remarks.
Dan Schrider: All right. Thank you. Just wanted to thank everyone for taking the time this afternoon to participate with us. We want to remind you, as always we like to receive your feedback to help us evaluate the effectiveness of our call. You can e-mail your comments at ir@sandyspringbank.com. So, thank you all and have a great afternoon.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.